Operator: Ladies and gentlemen, thank you for standing by and welcome to VOXX International Fiscal 2021 Third Quarter Results Call. At this time, all participants are in a listen-only mode. After the speaker’s presentation there will a question-and-answer session. . Please be advised that today's conference is being recorded. . I would now hand the conference to your speaker today, Mr. Glenn Weiner, with Investor Relations. Thank you. Please go ahead.
Glenn Wiener: Thank you, Carmen. Good morning and welcome to VOXX International's fiscal 2021 third quarter conference call. Our Form 10-Q was filed with the SEC and we issued our press release after market closed yesterday afternoon. Both documents can be found on the IR section of our website as can our updated investor presentation. Speaking from management today will be Pat Lavelle, President and CEO; and Michael Stoehr, Senior Vice President and Chief Financial Officer. Both will have prepared remarks and we will then open up the call for questions. Our Chairman and Founder, John Shalam is also available for questions. Note our call is being webcast live over the internet and a replay will be available approximately one hour after the completion of the call. 
Patrick M. Lavelle: Thank you, Glenn. Good morning, everyone. Let me start off by wishing you all a happy and healthy New Year and all the best in 2021. Our fiscal 2021 third quarter and nine months results are up substantially over the last year. There is a lot of momentum behind us which should carry through into the fourth quarter, and barring any unforeseen events, should continue thereafter. Third quarter net sales were up over 90 million or approximately 83%. All segments posted year-over-year increases with the consumer segment up 74%, the automotive segment up 105%, and the biometrics segment up 149%. Premium audio continues to be very strong for us as sales more than doubled year-over-year, up approximately 112%. And we reported an increase in both OEM and aftermarket product sales within the automotive segment. Operating income of 18.6 million was up $18.4 million, and adjusted EBITDA of 24.5 million was up $18.7 million.  Mike is going to cover our nine-month comparisons, but to quickly put fiscal 2021 in perspective, sales were up 36.5% and adjusted EBITDA of 35.1 million, improved by over $31 million. Our balance sheet remains in good shape and our cash position will increase this quarter as we move through inventory and accounts receivable. There are so many positive things happening at VOXX, and we are very encouraged. At the same time, we are mindful about the global environment as the pandemic continues. We are running our business with this in mind. Nevertheless, in spite of all that we have faced, we have been able to move quickly, adjust overhead, and grow, and are poised to have one of the strongest years from an EBITDA perspective. 
C. Michael Stoehr: Thanks Pat. I also would like to wish you all a Happy New Year and better days ahead in 2021. As Pat covered our third quarter comparisons, I will address our nine month year-to-date results and all figures off of the fiscal 2021 and fiscal 2020 nine months ended November 30, 2020 and November 30, 2019 unless noted otherwise. I'll then cover our balance sheet and we'll open up the call for questions.  Starting with the income statement. We reported net sales of 401.1 million compared to 293.8 million, up 107.3 million or 36.5%. All segments reported year-over-year growth. Automotive electronics segment sales increased 24.9 million or 28.8%. OEM product sales were down 13% as several customers had shut down their plants earlier in the year due to COVID. As Pat noted, quarter three sales for OEM products were up and with new programs coming online, we are anticipating OEM growth in the fourth quarter and moving forward. Aftermarket product sales increased over 60%, this was driven primarily by acquisitions of VSM and DEI subsidiaries. The first of which occurred in fiscal 2020 fourth quarter and the other in the second quarter of fiscal 2021. 
Operator: . And we have a question from Beat Kahli with Kahli Holdings. Please go ahead. 
Beat Kahli: Good morning, everybody. Good morning, John. Good morning, Pat. . Good morning John. Just want to congratulate you to an outstanding result. I'm proud to be your largest shareholder. I'm looking forward to work with you together on EyeLock and anything else. Congratulations. I think that's the beginning. Working with you in the last six months has been a pleasure. I hope that we can conclude another outstanding venture with our EyeLock negotiations and congratulations.
Patrick M. Lavelle: Thank you Beat. And we too look forward to concluding our discussions. Thank you. 
C. Michael Stoehr: Thank you Beat. We appreciate your participation and your ongoing support. Thank you.
Operator: . And we have a question from Dave Covas with Oberweis Assets. Please go ahead. 
David Covas: How are you doing guys? Great quarter on all fronts, just had a couple of questions for you. So, your EBITDA margin which looks like about 11.8% for the quarter, up 400 basis points year-over-year. Can you discuss that, parse that a little bit just in terms of what were the drivers, I know you mentioned some expenses returned in the quarter, I'm guessing others didn't, so just curious kind of what's sustainable going forward on that front, where that can go from here?
Patrick M. Lavelle: Well, when we look at the expenses in particular, we know that we made some deep cuts earlier in the year that’s positively impacted the expenses. A lot of those expenses will come back as we move into the first quarter of next year because based on the volumes and everything that we're doing and the acquisitions, we will carry a little bit higher overhead. Now with that said, we will also have full year sales of the acquired companies which we did not have in the first half of last year, and we expect that the growth that has been generated within the premium audio group will sustain based on the fact that business, a large part of that business has been our premium group opening up another channel that has not affected our traditional channel. So, we believe that is sustainable as well we will be adding in the Fiat Chrysler and Ford EVO sales in the middle of the year. So we believe that even though we might see an increase in overhead, we will see a resulting increase in topline as well.
David Covas: Okay, that's great, and can you also just comment on what the acquisitions contributed to sales in the quarter and then also the new distribution you guys had with ONKYO and Pioneer that I think you said began in September, just kind of what that ramp looks like, how much did that contribute to the quarter versus the ? 
Patrick M. Lavelle: It didn't have a much of an impact in the quarter as we are ramping up. We expect that even our fourth quarter, as they build inventory, as we receive it, it will really not start having impact for us until the first quarter of 2022 fiscal. As far as the additional acquisitions that we've done, we don't really break it out, but I could say it has been most of the increase that you've seen within the increase that you've seen in our automotive business.
David Covas: Okay, got it, thank you. And I don't know if you discussed this in the past, but just curious as to your pipeline or path in terms of further M&A?
Patrick M. Lavelle: We believe that there are going to be opportunities for good companies that had a difficult time through COVID but have a strong basic company and good capabilities. We are definitely out on the M&A front at this point, looking for opportunities that would strengthen either our premium audio space or our automotive business. So we are actively pursuing targets that we think are beneficial to the company and shareholders.
C. Michael Stoehr: Pat, this is Mike. On the question on the two acquisitions, in the 10-Q, there is a section that'll give you an idea of what happened. On Page 2, like Page 3 or 4. 
David Covas: Okay, thank you guys. 
Patrick M. Lavelle: Thank you David. 
Operator: Thank you. And this concludes our Q&A for today, back to Pat.
Patrick M. Lavelle: Alright, well thank you everyone for your interest in VOXX. Thank you for joining us today. Enjoy the rest of the day and please know that visit CES show where you could see all the different products that we are showing this year. It is a digital event, and you can get on the site to see what's happening. So stay safe, stay well, and we'll speak to you next quarter. Thank you.
Operator: And with that, ladies and gentlemen thank you for participating in today's conference. You may now disconnect. Have a great day.